Operator: Welcome to the Quebecor Inc. Conference Call. Thank you for standing by. I would like to introduce Martin Tremblay, Vice President, Public Affairs of Quebecor Media Inc. Please go ahead.
Martin Tremblay: Ladies and gentlemen welcome to this Quebecor conference call. My name is Martin Tremblay, Vice President, Public Affairs and joining me to discuss our financial and operating results for the second quarter of 2016 are, Pierre Dion, President and Chief Executive Officer; Jean-Francois Pruneau, Senior Vice President and Chief Financial Officer; Manon Brouilette, President and Chief Executive Officer of Videotron; Julie Tremblay, President and Chief Executive Officer of our Media Group. You will be able to listen to this conference call until November 4, 2016. By dialing 877-293-8133, conference number 1202475 and passcode 90393#. This information is also available on Quebecor's website, at www.Quebecor.com. I also want to inform you that certain statements made on the call today may be considered forward-looking and we would refer you to the Risk Factors outlined in today's press release and reports filed by the Corporation with regulatory authorities. Let's now move on with our first speaker, Pierre Dion.
Pierre Dion: Thank you Martin. Good morning everyone. We're pleased to report solid quarterly results. Investments made in growing sectors and the repositioning of our asset mix that we initiated a few years ago are clearly bearing fruit. Videotron's financial performance with revenue and EBITDA growth of 5% and 6% respectively, is supported by strong results from our wireless services and from our business solutions segment, two fields that required significant investments in the past and from which we expect decent growth in the upcoming years. Our media segment opportunities suffered from unpredictable events. Such as the absence of the Montreal Canadians and the NHL playoffs and the late cancellation of a major production in MELS movie studios. Nonetheless, we're confident that those bumps will only be temporary and our investment seasons therefore remains intact. After nine months of operating the Videotron center, we can only be thrilled with our progress and making it a popular venue for artists and fans. With more than 1 million fans that have crossed the gates so far, we can affirm that the Videotron center has all it takes to contribute to the success of artists and entertain every citizen in the Province of Quebec. In our effort to become a leader in live entertainment we will continue to leverage experience and expertise as well credit ability of its brand. Unfortunately, the Board of Governors of the NHL concluded the expansion process by granting a team to Las Vegas but not to Quebec City. We respect the Governors' decision and wish all the best the group that will operate the team in Vegas. We will remain strong partners of the NHL, mainly through our 12-year broadcasting agreement and we trust the NHL appreciated the quality of the arena, the solidity of the Quebec City's economic foundations and Quebecor's credentials, key ingredients to successfully operate an NHL team. I will now let Jean review our second quarter results.
Jean-Francois Pruneau: Thank you, Pierre. Quebecor's revenues were up 3% in the quarter to CAD993 million. Revenues from our telecom segment grew 5% to CAD 780 million. Quebecor's EBITDA was up 3% to CAD360 million in the quarter. Our telecom segment recorded a 6% EBITDA of the growth to CAD363 million. Our stock price increase in the quarter resulted in a CAD6 million unfavorable variance in respect of stock option expenses. Excluding stock option expenses Quebecor's EBITDA increased 5% in the quarter. We reported net income attributable to shareholders of CAD10 million in the quarter or CAD0.08 per share compared to a net income of CAD72 million or CAD0.59 per share reported in the same quarter last year. The decrease is mostly explained by an unfavorable variance in valuation of financial instruments, once again resulting from our stock price increase as well as by our unfavorable variance an income tax expense. Adjusted income from continuing operations, excluding unusual items and gain or losses on valuation financial instruments, came in at CAD70 million or CAD0.57 per share compared to CAD67 million or CAD0.54 per share reported in the same quarter last year. Quebecor Media's consolidated free cash flow from continuing operating activities increased from CAD14 million in the second quarter of last year to CAD20 million this quarter. For the first six months of the year, revenues were up 4% to CAD2 billion and EBITDA was up 4% to CAD715 million. Excluding stock option expenses, EBITDA increased 5% year over year. Adjusted income from continuing operations excluding unusual items and gains or losses on valuation of financial instruments, came in at CAD138 million or CAD1.12 per share compared to CAD108 million or CAD0.88 per share reported last year. As of the end of the quarter, our net debt-to-EBITDA ratio was 3.4 times up slightly from 3.3 times reported as of the end of the second quarter of last year, mainly as a result of the repurchase in September 2015 of CAD0.5 billion worth of shares held by the Caisse de depot et placement du Quebec. In June, we amended and extended Quebecor, Quebecor Media and Videotron's revolving credit facilities to July 2019, 2020 and 2021 respectively. Available liquidity of approximately CAD1 billion as of the end of the quarter, full access to capital markets financing and free cash flow generated by our operations are more than sufficient to cover our near term debt maturities. In the quarter, we purchased and canceled 70,000 Class B shares. Since we initiated our normal-course issuer-bid program in 2011, approximately 6.6 million Class B shares have been purchased and canceled. Note that the Board of Directors, upon the termination of the August 2015 program, approved the renewal of the program for an additional year. I will now let Manon review our telecom's segments' operations.
Manon Brouillette: Good morning everyone. We're pleased to report strong financial results in this quarter, despite typically weaker seasonal subscriber statistics. Wireless services continue to lead the charge for us. As of June 30, we reached 829,000 activated lines, supported by a strong growth of 33,000 lines in the second quarter and 126,000 lines year over year. Despite the marginal negative impact of our bring-your-own device program, wireless ARPU grew more than 7% year over year from CAD47.04 to CAD50.51 and ARPU from new activations increased to CAD57. Our monthly return rate was quite stable at 1.3%. In the quarter, we further improved our value proposition for our unlimited music service by adding two new apps, Jengo and Slacker Radio, for a total of 14 apps now available. Our subscribers performance in primary services once again, impacted by the traditional movie season in Quebec contrary to other operators, we don't smooth out subscribers stats for subscribers who disconnect in the second quarter and reconnect in the third quarter due to remove therefore creating more volatility in our subscriber statistics. However, similar to previous years, our reconnections were material in the month of July and we even exhibited higher RGU growth this year compared to July 2015. In cable TV and cable telephony, we recorded declines of 25,000 and 20,000 customers respectively compared to losses of 23,000 and 7,000 customers in the second quarter last year. In Internet services we exhibited a 6000 subscriber decline in the quarter compared to 4000 last year. Year over year we added 33,000 customers to our service. We continue to innovate with value-added features, applications and new services. In the quarter, we launched a mobile payment application and a mobile app which enables clients to manage their Wi-Fi network from their mobiles and tablets. We also introduced our new Canada-U.S. Without Border roaming plan that will improve customer satisfaction and contribute to higher ARPU. Finally, on July 13 we launched our data Giga-Internet service supported by our robust hybrid fiber-coax network. Starting with greater Montreal we will gradually roll-out this service across our service area in the coming month. As of the end of the quarter, 266,000 customers subscribed to Cloud Illico, our over-the-top video service, for a growth of 74,000 customers over the last 12 months. This success is driven by our premium content strategy including our upcoming exclusive Club Illico original series Viktaliseau which will be our first four-key production in Cloud Illico. Our bundle strategy continues to be successful. As of June 30, 81% of our residential customers were bundling two services or more and 16% were bundling four services further contributing to higher ARPU. As per JD Power, Videotron ranks the highest in both television and Internet customers satisfaction in Eastern Canada for a fourth consecutive year and ranks highest mobile network quality in Quebec. We still maintain the highest MPS and satisfaction rates in the industry. On the financial front our revenues amounted to CAD780 million in the second quarter compared to CAD742 million in the same quarter of 2015, a 5% growth. This is primarily due to RGU and ARPU growth mainly in mobile and Internet services. For the first six months of the year, revenue grew 5% to CAD1.55 billion. Revenues from our business segment grew 24% year over year. We have completed our data center in Montreal, on schedule and on budget. We just opened it and the auto show inauguration is scheduled for September. We recorded EBITDA of CAD363 million in the second quarter compared to CAD342 million last year, a 6% growth. For the first six months of the year EBITDA was up 5% to CAD721 million. EBITDA from wireless services almost tripled from last year, favored by higher revenues and lower cost of acquisition for new subscribers. Which was down 19% from CAD501 in the second quarter of last year to CAD404 this year due, in part to our bring-your-own-device program and lower marketing expenses. We generated CAD141 million in cash flow from operations, a CAD40 million decline from the second quarter last year. Due to higher CapEx primarily resulting from our LTE network build out and our new data center. Net capital expenditures including acquisition of intangible assets, but excluding Spectrum licenses, amounted to CAD222 million in the second quarter an increase of CAD61 million over the second quarter of last year. We spent CAD42 million in our wireless infrastructure in the quarter, mainly for the rollout of LTE networks. For the first six months of the year net CapEx amounted to CAD420 million of which CAD75 million was spent on our mobile infrastructure including CAD62 million on our LTE networks. I will now let Julie review the media group.
Julie Tremblay: Thank you Manon. Consolidated revenues for the Media Group declined CAD22 million or 9% in the second quarter to CAD229 million, resulting from a 5% decline in broadcasting revenues, 17% in newspaper publishing revenues and 36% in MELS revenues. MELS revenue decline is primarily due to the cancellation of a major production that was scheduled in our studio. Advertising revenues from our broadcasting activities declined 9% in the quarter to reach CAD65 million and subscription revenues from our specialty channels increased 7% to reach CAD29 million despite the shutdown of our business channel. On a same-store basis subscription revenues increased 8% and TVA Sports exhibited subscription revenues growth of 9%. The decline in advertising revenues is mostly attributed to TVA Sports as the Montreal Canadians missed the NHL play offs this spring. Despite the addition of new magazines acquired last year, our magazine business posted revenue decrease of 7% in the quarter to CAD29 million mainly caused by the shutdown of some publications late in 2015, as well as lower advertising revenues of a same-store basis. Our newspaper publishing business reported revenues of CAD51 million in the second quarter of 2016. Compared to CAD62 million reported last year, for a 17% decrease. Advertising revenues declined 18% while circulation revenues increased 4%. Media Groups' EBITDA amounted to CAD7 million in the quarter compared to CAD11 million reported last year. Our newspaper publishing business recorded EBITDA of CAD4 million for a CAD1 million decline, while our broadcasting business exhibited a CAD3 million EBITDA decline for a loss of CAD2 million. This decline is many attributable to TVA Sports. Our magazine business recorded EBITDA of CAD4 million, EBITDA compared to CAD1 million last year. MELS recorded EBITDA of CAD1 million. For the first six-month period ending June 30, Media's Group revenues amounted to CAD450 million a decrease of CAD16 million or 4% year over year as advertising revenues from our broadcasting activities declined 5% to CAD129 million, partly offset by a 6% subscription revenue growth from our specialty channel to CAD58 million. Our magazine business posted revenue growth of 23% for the first six months of this year to CAD57 million and MELS recorded a 6% revenue decline to CAD28 million. Our newspaper publishing business reported revenues of CAD101 million for the first six months, a 16% decline as advertising revenues declined 16% partly offset by a 3% circulation revenue growth. Media Group's EBITDA amounted to CAD4 million for the first six months of the year. Our newspaper publishing business reported EBITDA of CAD4 million while our broadcasting business recorded a CAD6 million EBITDA loss. Our magazines recorded EBITDA of CAD6 million, while MELS recorded EBITDA of CAD3 million. Cash flow from segment operations was negative CAD2 million in the quarter and negative CAD20 million for the first six months of the year. Let me now turn the floor back to Pierre.
Pierre Dion: Thank you Julie. In conclusion, we're very satisfied with our financial performance so far this year. Our growing segments are meeting expectations and we're confident that the impact of the unpredictable challenges we faced in the quarter, will eventually fade away. Our Management Team and I are convinced that the Company is well-positioned to continue to deliver superior growth which should translate in better returns to shareholders. I thank you for your attention. Operator's, please open the line for questions.
Operator: [Operator Instructions]. And the first question we have comes from Phillip Huang from Barclays.
Phillip Huang: I wanted to ask a question about your competitive environment for the fixed-line fair cable business this quarter. I was wondering, certainly, there has been a lot of talk about how intense it has been in Ontario. But it has appeared to be a little bit more stable in Quebec. I know this is a seasonally weaker quarter, being the moving season in Quebec but was wondering if you can give us an update on the competitive environment there. And also, looking into July, how have the subscriber trends compared to the prior years? Are you winning back all the people that have disconnected as a result of the move?
Manon Brouillette: When you look at the Ontario markets you are right, it is getting very dynamic. It could be comparable to Quebec, I may say. But what we've seen so far this year, I guess we got used to fight against Bell for many years. They are very active. They are very aggressive in promotion tactic. We're very proud because we have been quite diligent in the promotion for the half portion of the year. We see the result in the financial metrics. Because the great growth with that 6% growth in EBITDA. As for the weaker season for the moving period, you are right, that's what explains the performance in wireline product in the second quarter. I mentioned in my speech, we're very pleased to see that July is back on track. We can even affirm that we're outperforming last year, either in wireline and wireless line of products. So things are good.
Phillip Huang: Maybe a quick follow-up on the cable side, I know that, with your LTE build-out largely complete, I would assume that you are shifting your attention to investment in the cable side. Certainly your peers across the country are very focused on the next TV platform, next-generation TV platform as well as DOCSIS 3.1. I was wondering if you could give us an update on whether you guys have made any decisions on your next-generation TV platform? Are you going IPTV or leveraging an existing platform? And also, how should we think about cable CapEx intensity beyond 2016? Thanks.
Manon Brouillette: So far in CapEx, for the landline, we're on guidance. But I just want to reassure you on something, even though we spent a lot of money on the mobile network, we still handle our fiber-coax network and we take good care of it. As you have seen, we just launched a Giga Internet, in greater Montreal. We make sure that we roll out product with a good return on investment. Not to compare ourselves to our main competitor in the market, we want to make sure that every time we spend CapEx, we put it in the right area and we have a return on it as fast as possible. The game is that. As for IPTV, I know you'd like me to tell you more about it but we're still doing our homework. We know that we will get there at a certain point in time. But keep in mind that we rolled out our next-generation box three years ago. So, we're not in such a hurry as other players were, such as Rogers and Cogeco in the past. So we're not in the same game. The product is performant, is attractive for consumer and when you look at our TV metrics, I think that we still fight strong again. We will give you more update later when the decision is taken.
Operator: Next we have a question from Tim Casey from BMO.
Tim Casey: Could you give us a little more color on what was going on in wireless this quarter? It looks like the numbers continue on trend but we have seen good subscriber loading from other operators. I'm curious as what you are seeing in the market and perhaps a comment on if you think the competitive side of the business is intensifying or if it's stable. Thanks.
Manon Brouillette: When you look at the metrics, when you compare the growth of the Q2, it is the same growth as 2014. Last year, we had a pickup, of course, because of the double core, the end of the 36 months. And since we were the new entrant, we had a huge list on that. So I would compare our metrics to 2014. And we're pleased to see that, even though the market is maturing, we're still able to capture the same type of growth. Of course, the dynamic is very strong in the marketplace because, since we stole customers from any other player that was in the market, they are trying to capture back those subscribers. So they target Videotron subscribers, but we're pleased to see that we have good tactic in terms of renewal. And what we have been able to achieve in terms of ARPU is confirming that I think we're doing the right thing. We want to grab as much as we can. We still grew our market share by 1.5 points year over year. It's great. We're number three now in terms of market share. We're ahead of a lot of other brands, so I think that we're getting there. But it is a pretty dynamic marketplace and we have to be agile and rigorous in the way we attract customers.
Martin Tremblay: Does that answer your question, Tim?
Operator: Next we have a question from David McFadgen from Cormark Securities.
David McFadgen: A couple of questions on wireless, so you talked about the fact that the wireless EBITDA was triple or approximately triple last year. Can you confirm that it was in the low CAD20 million range?
Jean-Francois Pruneau: Yes, we can.
David McFadgen: When I look at your mobile telephony acquisition costs, they were CAD404 million in the quarter compared CAD501 million in the prior year. They keep dropping. Is the low CAD400 million range a new level that you think you can sustain or do you think you could actually bring it lower than that?
Manon Brouillette: I'm not sure we could be able to bring it lower than that. We have to be in the game. The big effect that you have seen is because we did not have the Bring Your Own Device before. We launched that at the end of last year. So you see the adjustment in the cost of acquisition based on that. But I think that the strategy with the ION phone more and more attractive on the market is to be able to capture our fair share. But attach it to higher RQ. It seems to work so far. I would not tell you that we will bring it down. I could tell you that it might stay stable.
David McFadgen: Just following up on the BYOD, you talked about the fact that it negatively impacts ARPU, can you quantify that at all?
Manon Brouillette: I'm not sure I want to share that information, unfortunately. No, I can't. I could tell you something, though. Maybe you have noticed in our package tactic, that what we do, we want to make sure that we don't only use the NSET to influence subscribers to go for higher ARPU. Music unlimited is a good example of that. Even if you are with Bring Your Own Device, if you want to access unlimited music service, you have to subscribe to packages higher than CAD65 a month. Canada U.S. without border, same story. You can access it with your bring-your-own-device but you have to subscribe CAD64 or more per month. I think that the way you would use that program is to capture as much share as we can of growth addition, but not on the counter part slowing down or lowering down, sorry, the ARPU.
David McFadgen: Okay. And just one more. If you could just update us on your new growth has that you are loading, can you tell us the average ARPU, that you are loading them at?
Manon Brouillette: In mobile?
David McFadgen: In mobile, yes.
Manon Brouillette: It is CAD57 new activation.
David McFadgen: So it is still CAD57.
Manon Brouillette: Yes, it is.
David McFadgen: So there's lots of room still to move your ARPU up. I mean, you should be able to move it to CAD57, potentially higher.
Manon Brouillette: That is what we believe. That's what we hope. Yes.
Operator: [Operator Instructions]. Next question comes from Jeff Fan from Scotiabank.
Jeff Fan: A few quick ones for me. First, on the wireless CapEx, I think, Manon, you said CAD75 million for the quarter and CAD62 million for LTE. Wondering if you can give us a sense on the progress on the LTE build and what we should expect in terms of capital towards LTE for the year and maybe overall for wireless and how that changes post the LTE build, maybe you can help us with a little bit of color there?
Manon Brouillette: Yes. In terms of the rollout, things are going great. We're even ahead in terms of rolling out the LTE sites. What we wanted to do is accelerate the closing of the gap with Bellis. The conjoined network of Bellis tele together. And improving our coverage -- maybe you've seen on the market we have a huge campaign telling customers that we improved our coverage and it seems to work. So it was important for us in terms of churn, management and quality of service. As for the guidance, I will let Jean-Francoise share some numbers with you.
Jean-Francois Pruneau: Well, you are right, Jeff. So far, after six months, CAD75 million was spent on the wireless infrastructure. And CAD62 million specifically on LTE. So, as Manon has mentioned, we have frontloaded our spending on the LTE networks. All in all, our guidance for the LTE spend has not changed.
Jeff Fan: Remind me just roughly, what that amount is? The guidance for LTE?
Jean-Francois Pruneau: It was similar to last year and last year we spent CAD107 million.
Jeff Fan: Okay. If I can just move on [indiscernible] on wireless for a second, in terms of your subscriber net adds, you benefited last year, obviously, from the double cohort but you are still adding 30,000 or 35,000 this quarter, 33,000. I was wondering if you are happy with the pace of the loading that you are seeing? And I know you don't give guidance for the full year, but if you can help us, what kind of pacing for full-year net adds would you be comfortable with?
Manon Brouillette: I cannot give you specific numbers. The only thing I can tell you is when we look at the addressable market, we give us objective of being in the top two, three in the market. We're there every quarter. Sometimes we our first, sometimes we're second. We're pleased with that. I think that there is still room to grow, of course. But we have to assure that we will grab not only price shopper customers like other brands are looking for, because we feel that we have been able to achieve good performance in terms of ARPU and in terms of EBITDA coming from our wireless business. So, we think that we keep -- we will keep going. When we look at July, metrics are very good. Not only wireline but in mobile we're outperforming last year and that is what we try to do every quarter.
Jeff Fan: And last question, more of a strategic question. There have been questions asked about the competitive environment on cable, fixed broadband specifically. There is a cost advantage for cable networks in rolling out gigabit fiber services, gigabit Internet services. A lot of your peers have now started to really push that cost advantage on bundle pricing. I'm wondering, given the share shift, if any, are you guys ready to make that push? Do you think it makes sense to make that push? I'm trying to understand where your heads are at, at this point.
Manon Brouillette: We're definitely pro bundling. It works for us. When we look at the metrics, our multi-product customers show a lower churn. It even easier for us to fight on the market against other brands that have no bundling capacity. That being said, we have to be careful in that area. We're the player that holds the largest market share in the market. We always have to take that into account. It is always the balance between everything and, so far, the Giga Internet does not cost us much to roll out. Because we're using our actual infrastructure. But, in the future, you will see more and more of those tactics, offering new type of packages and new type of added-value services, to multi-product subscriber. It is always a matter of return on investment, return for customers.
Operator: Next we have a question from Vince Valentini from TD.
Vince Valentini: A couple things, so the 6000 decline in Internet subscribers, is that basically all just because there was more move activity at the end of June versus last year and you've recovered all that in July?
Manon Brouillette: Yes. It's totally that. When you look half portion of the year, we doubled the growth compared to last year. And when we dig in detail in the last quarter, it happened in the last weeks of June and they were back in July. So it is immaterial.
Vince Valentini: So we should not read into that any sort of increase in--?
Manon Brouillette: No. You should not.
Vince Valentini: The Fibrenoire acquisition, it would have to have contributed somewhere around CAD3 million of EBITDA?
Manon Brouillette: No, we cannot share that type of information.
Vince Valentini: But is it trending in line with what you had thought when you bought it?
Manon Brouillette: Yes, it is.
Vince Valentini: If I try to make my own estimates and adjust, last quarter, if you back out wireless, looked like core-cable EBITDA growth was slightly negative. This quarter it looks like it is about 1% positive. Is that a signal that the amount of advertising and activity you have to do has come down a little bit? So you can let that flow through to your EBITDA a bit more?
Manon Brouillette: Different things. when you dig into the total EBITDA, two things. Very pleased that we've tripled year over year in mobile, you're right. We even grew 3% in the wireline EBITDA which is awesome as well. But when you compare Q2 to Q1 -- is that what you are referring to? Right?
Vince Valentini: Yes, Q2 seemed better than Q1.
Manon Brouillette: Yes. The thing that is reflected more in the wireless EBITDA in Q2 is basically the NSET subsidy. More activation and more renewals. That is the only variance that is significant. Quarter over quarter.
Operator: Next we have a question from Drew McReynolds from RBC.
Drew McReynolds: Two questions, first Manon, for you, can you update us or disclose the percentage of your wireless subscriber base that is currently taking another Videotron service? Is that something you are willing to share?
Manon Brouillette: Yes. It is about 50% of mobile -- actually, the other way around, sorry. It is about 50% of our wireline customer base that has a wireless service with us. So plenty of room to grow. We're deploying a lot of tactics to upsell our customer base. And when you look at the other way around, it is about 80%, 85% of mobile subscriber that has a product with us. We see that the attachment strategy definitely works and that there is still room to grow.
Drew McReynolds: Second question, just bigger picture. When you look at your strategic priorities going forward now with the NHL decision -- and, of course, Shaw and Wind getting together -- we're all fully aware of what your intention potentially is in terms of 100% ownership of Quebecor Media, but can you update us on where other growth opportunities may be for your business? And then, secondly, if there are areas of M&A focus that you are currently looking at?
Pierre Dion: We're not going to discuss on M&A. What I can say is that we still see good growth with Videotron, obviously which is our main focus. And, Manon, I think clearly explained where the growth areas are. In terms of media, on the media side of the business, advertising is a challenge. We know that. But we believe in content. And we believe in multi-platform content. At the end of the day, customers still want content. And I think we're getting successful on the different platforms. And convergence works in Quebec and that is why you're seeing us in newspaper and TV and magazines and all these different media. So convergence works. And we will explore more content opportunity. I did go public with the fact that, internationally, we want to be a player in terms of content. On the sports and entertainment side, as you know, sport is more popular than ever. Live entertainment is more popular than ever. So we want to be on that wave. That is why we're investing in sports and entertainment. I just wanted to give you a quick summary on the three main divisions. The growth area is Videotron, we want to be a key player on the media side with the convergence and we want to be on the wave of the sports and entertainment.
Operator: Next we have a question from Maher Yaghi, Desjardins.
Maher Yaghi: Well, you've done excessively well with your Videotron customers and trying to sell them wireless and that has helped you a lot since your launch. I'm trying to figure out what is the strategy in trying to penetrate non-Videotron customers on the wireline side. What does it take to get to those clients which some of your competitors are doing? On the business solutions side, I would think this is a great opportunity for you guys. You have invested a lot of money. Can you talk a little bit about your expectations for growth on the business side of wireline? And when should we see a move on that direction since you made quite a bit of investment in there?
Manon Brouillette: As for the non-Videotron subscribers for the mobile, we deploy a lot of effort as well. It is not only targeting our actual customer base. Just to give you an idea, targeting the younger skewed subscriber, we've been able to improve our market share in that segment by, I think, it's 1.6% year over year. So, basically, what we do, we work per segment. Not every customer is equal. Not every customer has to be addressed accordingly. So what we do, we have a lot of groundwork activation and it seems to work. We have to gain customers one at a time. As for the B2B, going into data centers enabled us to upsell customers base. Actually, when you look at our growth in the B2B segment, overall revenue grew 25% year over year. Only half of it is coming from the acquisitions. So we still have room to grow. I cannot share names of good customers that we have gained because it is not public information. But I can tell you that we're more and more in the game of larger skewed enterprise and mobile for us is a huge area of growth, in the B2B, as well as, of course, data hosting and cloud computing, with white-label product.
Maher Yaghi: Manon, your competitors, they all have flanker brands in the marketplace. You have tended not to do that so far. Do you think this is something that is required in order to better segment your market and penetrate different pockets of the market? Or, with the Videotron brand you think you can cover the whole market as it is right now?
Manon Brouillette: I think that, so far, the brand Videotron respond properly to the marketplace. You would understand that I won't be able to share any type of speculative strategy with you because it is too important to surprise the market if needed. But, so far, I think that being in, as I mentioned, number one, even two, in growth addition, we have all in place to keep growing the trend we have been delivering so far.
Operator: The last question comes from Rob Peters from Credit Suisse.
Rob Peters: Just wondering if you could talk a little bit on the trends your seeing in [indiscernible] and how we should think about that particularly, as you've mentioned in the Internet side of things, the disconnects were mostly related to the moving season. I was wondering if that was something similar there.
Manon Brouillette: The landline to [indiscernible] another story. Of course, you see a trend related to the moving season. Because those customers who are multi-product, moving, they disconnect three of their landline and coming back. Of course, the cost cutting is a phenomenon that is here to stay. It's not the first time I talk about it. And our latest estimate shows that 21.5% of Quebec households don't subscribe to a landline telephone service anymore. So the game is to slow down the erosion to make sure that we stabilize the decline. But, on the other hand, if a customer doesn't want to be mobile only, the game is to make sure for us that they pick Videotron's mobile phone.
Pierre Dion: That's it? All right. Thank you, everyone.